Operator: Good afternoon, and welcome to HCI Group's First Quarter 2020 Earnings Call. My name is Dagma, and I will be your conference operator this afternoon. [Operator Instructions] I would now like to turn the call over to Rachel Swansiger, Investor Relations for HCI. Rachel, please proceed.
Rachel Swansiger: Thank you, and good afternoon. Welcome to HCI Group's First Quarter 2020 Earnings Call. With me on today's call is Paresh Patel, our Chairman and Chief Executive Officer; and Mark Harmsworth, our Chief Financial Officer. Following Paresh's opening remarks, Mark will review our financial performance for the first quarter of 2020, and then turn the call back to Paresh for an operational update and business outlook. Finally, we will take your questions. To access today's webcast, please visit the Investor Information section of our corporate website at www.hcigroup.com. Before we begin, I would like to take the opportunity to remind our listeners that today's presentation and responses to questions may contain forward-looking statements. Made pursuant to the Private Securities Litigation Reform Act of 1995. Words such as anticipate, estimate, expect, intend, plan and project and other similar words and expressions are intended to signify forward-looking statements. Forward-looking statements are not guarantees of future results and conditions, but rather are subject to various risks and uncertainties. Some of these risks and uncertainties are identified in the company's filings with the Securities and Exchange Commission. Should any risks or uncertainties develop into actual events, these developments could have material adverse effects on the company's business, financial conditions and results of operations. HCI Group disclaims all the obligations to update any forward-looking statements. Now with that, I would like to turn the call over to Paresh Patel, our Chairman and CEO. Paresh?
Paresh Patel: Thank you, Rachel. And welcome, everyone. I'd like to start today's call by first addressing the impact of COVID-19 pandemic. The crisis has impacted companies and people all over the world, and our hearts and thoughts go out to those have been affected by it. Since the beginning of the crisis, our priority has been the health and well-being of our employees and maintaining superior service to our policyholders. So in early March, we implemented our work-from-home arrangements, and I'm pleased to report that we have done so without significant impact to our operational effectiveness or capabilities. Our adept and talented IT team enabled us to service our policyholders and handle claims normally. I can tell you that I can tell you that responding to pandemic is not unlike responding to a weather catastrophe event, and we were well prepared. Also, to our knowledge, none of HCI's employees have tested positive for the virus so far. We have exceptional people and they are vital to our success, and we are committed to supporting them through this critical time. Turning to the business. Outside of the decline in our investment portfolio, the COVID-19 pandemic has not materially affected our business, and nor do we expect it to do so. Our insurance companies have received a few COVID claims, but we believe our exposure is very limited. We have also offered to defer some policyholder premium payments that are coming due. Homeowners insurance premiums are usually paid annually and in most cases, connected to our mortgage payment. We do not view premium collectibility to be a significant issue at this time. Turning to Greenleaf, our Real Estate division. We are working with some tenants on the lease payments. Some of these tenants are restaurants, gyms and retail establishments, and they've been hit hard by the crisis. But keep in mind that most of our Anchor tenants are grocery stores and a large bank, which is doing just fine. Also, we own and operate two marinas and a restaurant. And while we continue to pay the employees at those facilities, those operations have been closed temporarily or running at very reduced capacity. So what is the combined impact of all of this stuff? The combined operational impacts are not material. For context, the total costs of all of these impacts equals about one major fire loss a month on a business that generates about $36 million of revenue a month. So not material at all. Incidentally, we have not applied for any government loans, including loans under the Payroll Protection Program. And nor do we expect to do so in the near future. As Mark will elaborate in a moment, our cash flow is healthy, our balance sheet is strong. And with the exception of the unrealized investment losses, we had a very good quarter, and we continue to pay our normal dividend of $0.40 per share. I will now turn the call over to our CFO, Mark Harmsworth, who will walk us through the financial performance for the first quarter. Mark?
Mark Harmsworth: Thanks, Paresh. On a GAAP basis, net income for the quarter was just to $500,000 or $0.07 per share. On an adjusted basis, net income was $4.2 million or $0.54 per share, up from $2.8 million or $0.35 per share in the first quarter last year. Before getting to the numbers, I wanted to turn the clock back a year. On our first earnings call in 2019, we talked about growth. We laid out three phases of growth, how they would show up in the numbers and ultimately, how they would start to positively impact our results. 12 months later, it all played out, as we described. In Q2 last year, gross premiums written were up over the same quarter of the previous year. And Q4, gross premiums earned were up and this quarter is where it really starts to impact our financial results. In Q1, gross premiums earned were up 12%. This growth, as well as the growth in written premiums, was driven by our technology-enabled insurance company, TypTap. While gross premiums earned were up 12%, net premiums earned were up 20% or about $10.5 million over the same quarter last year. The growth in net earned premiums helped to drive our consolidated combined ratio down to 88% for the quarter, and we think this is the most important indicator of what happened operationally this quarter. So with all that positive momentum, why was GAAP net income only about $500,000? First, investment income, which is normally about $3 million or so per quarter was negative, which was very unusual for us. This was largely related to investments in limited partnerships. As we know, the capital markets had one of their worst quarters in history, and this impacted our limited partnerships. In Q1, we recorded a loss of $3 million for limited partnerships, which, combined with lower rates on cash dragged investment income negative. Also in the quarter, we recognized a $2.2 million realized investment loss as we made some changes to our portfolio to rebalance it and in the process, triggered a few realized losses. Lastly, and this was the biggest impact, we recorded an unrealized investment loss of just over $4.8 million as equity investments dropped along with the decline in the overall financial markets. When the new accounting standards came into effect for equity securities, we commented that equity market volatility could translate into earnings volatility in some quarters, and this was one of them. Investment volatility, most of which is not cash related, had a dampening effect on what was otherwise a very strong quarter. Again, the most important result for the quarter is the combined ratio of 88%. While on the income statement, a quick update on loss expenses, which are up slightly, this increase was driven by the increase in gross premiums earned, offset by a reduction in weather-related losses. You may recall that we have a significant hail storm in the first quarter last year. Now let's turn to the balance sheet for a minute. As mentioned, most of the investment related items were noncash. Cash flow from operations in the first quarter was $25 million, more than double the $11 million of operational cash flow in the first quarter last year. Cash flow is important. If you look all the way back to the beginning of 2017, the ratio of cash flow from operations to dividends paid has steadily increased. So that's our cash flow. What about cash position? At the end of Q1, we had just over $317 million in cash, an increase of about $88 million for the quarter. That increase is somewhat higher than the cash flow from operations of $25 million I just discussed. Because in addition to that, we also received $30 million in advanced premiums from Anchor. Further, we had a net reduction in fixed-term securities as some investments insured. As we know, there is considerable uncertainty with respect to the COVID-19 outbreak. And in times like this, our strong financial position bears mentioning again. We have two well capitalized insurance companies with significant excess surplus under a holding company with excess liquidity. At the end of last year, Homeowners Choice had an RBC ratio of 625% and TypTap had an RBC ratio of 432%, and both insurance companies made money in the first quarter of this year. So we do not need to put money into either of the insurance companies. Having said that, should we ever need to, we have $58 million of cash and investments at the holding company level as well as $40 million available on our revolving credit facility. A quick update on the buyback program. At the end of 2019, we had about $1.2 million left available on the 2019 buyback program, and we executed purchases in the first two months of 2020 to close out that program. In March, the Board approved a new buyback program for 2020, and we began execution on that program as well. During the quarter, under the two plans combined, we bought back a total of 76,850 shares at an average price of $39.55. As I mentioned before, the buyback program has a significant cumulative effect. Basic share count is now 7,735,000 shares, down by 625,000 shares from 12 months ago. As a result, total cash dividends paid this quarter were $250,000 less than Q1 last year despite paying the same amount per share. Just one other note on the balance sheet, book value per share of $23.17 is down $0.72 from the end of last year as it was impacted by the investment adjustments we discussed, most notably the unrealized losses on equity securities. So in summary, net income this quarter was adversely impacted by some adjustments to our investment portfolio as part of the general decline in the capital markets. But operationally, this was another good quarter for us. Premiums are growing, the combined ratio was down, cash flow and liquidity are strong and getting stronger, we are bringing on a new book of business in the second quarter, and we look forward to the balance of the year. And with that, I'll turn it back to Paresh.
Paresh Patel: Thanks, Mark. We are very pleased with our first quarter performance and the return to revenue and income growth that it demonstrates. Looking forward, on April 1, we transitioned 41,000 policies from one of the carriers, representing approximately $66 million in annualized premium. It will take some time to optimize this book of business and to ensure its profitability. But this transaction ensures our revenue growth in the second quarter. As Mark has elaborated, we have a healthy cash flow, strong and a very strong balance sheet. Our principal revenues are assured. We have no significant debts that are coming due this year or the next, and we have no immediate need of cash, and our quarter dividends are safe. And we have we're in this position because we have we are in a very strong financial position, and part of that comes from planning ahead to potential opportunities. With that, I would like to mention that we may, in the future, file a Form S-3, universal shelf registration, in the near future to take advantage of any such opportunities that may arise. However, please note that we have no offerings or acquisitions planned at this time. And with that, we're ready to open the call to your questions. Operator, please provide the appropriate instructions.
Operator: Thank you. [Operator Instructions] Our first question comes from Matt Carletti with JMP. Please proceed with your question
Matt Carletti: Thanks, good afternoon. Good afternoon, Paresh, I have a couple of questions. One for you and one probably for Mark. First one on I was just curious on, as we've gotten into the current situation of stay at home in a lot of places, so maybe it's March in Q1 and then whatever you've observed so far and April. What has been kind of production trend, retention trends, stuff like that for both, whether it's TypTap maybe if you give for kind of TypTap in legacy Homeowners Choice separately? I'm just curious to see how people shopping habits have changed better or worse as we've kind of changed the environment we're in?
Paresh Patel: Sure, Matt. So, let' talk about Homeowners Choice first. Homeowners Choice has generally run a retention rate around 90%, over 90%. And I think even with the if you factor out the people that we're giving some help to because they like some defer on some payments. We have basically got a retention rate that's within 2% of where we were before. So we're not really seeing any major impact. That retention is very strong and continues to. TypTap is a is obviously a different item because it's a growing company, etc.. And two things are going on. Because of the rate at which we've grown and reinsurance is coming up, etc., we have sort of tried to put the brakes on or pause TypTap's growth for the immediate future just because demand was so strong, and we need to manage our growth, reinsurance and everything else. But having said, yes, but despite that, TypTap keeps adding policies. And what I can tell you, what it looks like is that this crisis is actually made for a company like TypTap because you ask some fire questions, you can add you get bind a policy, etc.. It's much more set up for the unfortunate world we find ourselves in the need in the present time and probably the new normal going forward. So I think TypTap could be a very huge beneficiary of this in the long term.
Matt Carletti: Yes. Yes, absolutely. Great. And then maybe just another one for Mark. Just in some of your comments, kind of $0.5 million of income in the quarter, but very strong cash flow production. I mean some of the pieces are obvious, but I was hoping that you could kind of walk us through how you get from a to b, kind of what are the major moving pieces? Just want to make sure that we're understanding maybe what is that a little bit of GAAP accounting versus mark-to-markets versus cash flow of the business?
Mark Harmsworth: Sure. So first thing I should mention, when the Q comes out, you'll actually see cash flow from operations of $55 million. I mentioned $25 million in my prepared remarks. The reason for that difference is the $30 million from Anchor. So the $25 million, I'm not including that because the $25 million is just straight cash flow from sort of ongoing operations. So I think your question is how you get like how do you get from $0.5 million of net income to that $25 million?
Matt Carletti: Exactly.
Mark Harmsworth: So, yes. So the way that you sort of get there is, first of all, as I sort of mentioned, there's a number of investment related hits, if you will, that we look to the income statement that are not cash related. And I listed them all, they add up to about $10.5 million. So if you add that $10.5 million to the $0.5 million of net income, that will get you to about $11 million of more sort of like normalized cash net income, if you will. And then to that, there is about $4 million of a combination of depreciation and stock-based compensation, which are noncash. Those are standard every quarter. So that will take you up to about $15 million. And then the other thing is daily reserves are up about $8 million. So, what I mean by that is you see the $28 million in loss expense in the P&L there. We expensed about $8 million more than we actually paid out. So reserves daily reserves went up by about $8 million. So if you take the $15 million I mentioned before, you add the $8 million, that gets you to $23 million. And then the rest of it is sort of rounding error. But that's does that answer your question? That's sort of how you get from someone...
Matt Carletti: Yes, yes, particularly that last little bit. Yes, I mean some of the stuff you listed out was pretty straightforward. And then yes, yes, that's very helpful. Great, thank you for the. color and best I can afford thank you
Operator: Our next question comes from Mark Hughes with SunTrust. Please proceed with your question
Mark Hughes: Thank you. Good afternoon. Could you give us kind of latest take on the impact of Anchor on the P&L, how it influences loss ratio, expense ratio and then kind of the net bottom line, at least in the near term, how that will trend over time?
Mark Harmsworth: Mark, it's Mark. So we mentioned, I think, in the press release about $60 million, $65 million of premium as of April 1, of course, none of that is in the Q1 numbers at all, that will eventually start to earn in. As I think we mentioned when we talked about the deal, the uplift in the income statement you won't see it immediately because a lot of those some of those policies are going to be at the existing rates. But as they start to renew on our rates, the deal will start to be more accretive. So we don't really give guidance. But in Q2, you'll see the combined ratio will probably go up a little bit and loss expenses will go up a bit because we're going to be booking losses off of that off of those lower premiums per policy initially. So in Q2, you'll see loss expense rate go up a bit, and you'll see the combined ratio go up a bit. And then after that, as they transition on to our rates, you'll start to see that sort of normalize out.
Mark Hughes: On the you had mentioned how the lower yields impacted net investment income. How much of that is enduring if you look at what your cash was throwing off before the crisis to today? How much of that will be with us in the 2Q and beyond?
Mark Harmsworth: So we're driving investment income, obviously, from fixed-term securities and also from cash. It's no secret that yields on cash are down a little bit. If you look at investment income in the first quarter, it was a couple of hundred thousand dollars negative. You take out the impact, the negative impact of limited partnerships, that takes you to about $2.8 million. That's a little bit less than it has been in the past, and that would probably give you an indication of what that delta is. So your question was how much of that is enduring. there's probably $200,000 to $300,000 a quarter that investment in income going forward is probably going to be a little bit lower because of the lower yields on cash.
Paresh Patel: And Matt sorry, Mark, to that point, some of that is also us taking positions for what the future now holds. We don't feel like chasing single bp or 20 bps commission checks or interest rate checks kind of thing. So we have made a conscious decision to just have a very solid amount of cash in the bank. And not because it earns a particularly good investment income, but it gives us the operational flexibility for the for any opportunities that may arise in the near future. So we're not reaching for yield, which will be the temptation to try and replace the $300,000. We're rather going the other way, saying that we'd rather have the cash and hence, Mark's comments about how much cash we were sitting on at the end of Q1.
Mark Hughes: Understood. Thank you. Okay.
Operator: Our next question comes from Bill Broomall with Dowling & Partners. Please proceed with your question
Bill Broomall: Thank you. I Just following up, Perish, on your comment about the shelf registration. And I know you don't have any acquisitions to plan right now, but how do you think about balancing growth at TypTap and maybe growing through inorganically? And how do you balance that?
Paresh Patel: Inorganically or organically.
Bill Broomall: Sorry. Going on and maybe doing another something similar to you did it with Anchor.
Paresh Patel: Okay. Yes. Bill, the best way of answering that is we know what we can do with Anchor and once in a while, an opportunity comes along that is significantly better than that. And if we see that, we might do something. Now the other side of this, we also sit in a spot, whereby I think, if you go by the numbers Mark talked about, about the surpluses we have in various places, we could grow the insurance companies to have about $700 million in premium before we would need to go to outside sources for capital. So with that much firepower, we have the luxury of being able to do both if we choose to, right? But equally well, what has what I think we've proven over the last decade or so is we are all interested in growth if there's a material opportunity in doing so. Growth for growth's sake has never been our mantra. So we are preparing in various ways that we think given all the disruptions that have occurred in the last 60 days, shall we say, there will there may be opportunities that'd be forthcoming, just like they were in the last in the Great Recession about a decade ago. So should those opportunities come along, we want to be prepared. And that's what we are clearing the deck for at this point, yes.
Bill Broomall: And this might be a long nuance. But with the Anchor, the 41,000, I believe, at the that time you announced the deal, you mentioned 43,000. So was there about 2,000 policies that didn't come over? Am I is that how am I understanding it correctly?
Paresh Patel: That's exactly how you should think of it, yes. Because the 43,000 was there in February or January when we announced the deal, we wanted to put out the 41,000 as to what seems to have netted across on April 1.
Bill Broomall: Got it. And then last one on reinsurance. I don't know if you have any perspective on how that is progressing at this point and [indiscernible]; sharing your thoughts would be helpful.
Paresh Patel: Yes. Bill, we're in the middle of the negotiations as would be expected at this time of year. So obviously, we don't necessarily comment on the specifics until everything is done and dusted. But having said that, it's not too much of a reach for everybody to appreciate that we are in a very unusual year where everybody is under pressure, both on the insurance side and on the reinsurance side. And given that, the negotiations are a little bit more intense than their normal years. But at the end of it, there's still a functioning market. And I think we will get our reinsurance placed.
Bill Broomall: Perfect. That's all I had. Thank you.
Operator: Thank you. I would like to turn it back over to management.
Rachel Swansiger: On behalf of the entire management team, I would like to thank our shareholders, employees, agents and most importantly, our policyholders for their continued support. We look forward to updating you on our progress in the near future.
Paresh Patel: Thank you.
Operator: Thank you. This concludes today's conference call. We think thank you for your participation. You may disconnect your lines at this time and have a great day.